Operator: Good morning, and welcome to SunOpta Inc. Fourth Quarter and Fiscal Year 2012 Earnings Conference Call. By now, everyone should have had access to the earnings press release. If you have not received the release, it is available on the Investor Relations portion of SunOpta's website at www.sunopta.com. This call is being webcast and transcription will be available on the company's website. Before we begin, we would like to remind everyone that prepared contains forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and, therefore, undue reliance should not be placed upon them. We refer you to all the risk factors contained in SunOpta's press release issued yesterday, the company's annual report on Form 10-K for fiscal 2012, that will be issued at the close of business today, and other filings with the Securities and Exchange Commission, for more detailed discussions on the factors that could cause actual results to differ materially from the projections and any of the forward-looking statements. Finally, we should also like to remind listeners that the company may refer to the certain non-GAAP financial measures during the teleconference, and reconciliation of these non-GAAP financial measures. We include the company's press release issued yesterday. And now, I'd like to turn the call over to SunOpta CEO, Steve Bromley. You may begin.
Steven R. Bromley: Great. Thank you very much and good morning, everyone. Thanks for joining us on the call today. On the call with me are Rik Jacobs, our President and Chief Operating Officer; Rob McKeracher, our Vice President and Chief Financial Officer; and John Ruelle, our Chief Administration Officer and Senior Vice President of Corporate Development. On the call today, I will provide you with a brief overview of our strategic growth initiatives and full year 2012 fiscal results, rob will provide more detail on our financial results for the fourth quarter, and Rik will provide an update on our operational developments during the fourth quarter. Finally, I will provide a few closing remarks and then we will open up the call to questions. In fiscal 2012, we continued to execute on our 3 core strategies. 1, to consistently focus on becoming a pure-play natural organic foods company; 2, to aggressively grow our value-added packaged foods and ingredients portfolio; and 3, to leverage our integrated platform. Our results for the year clearly reflect our progress towards achievement of these strategies, as we generated record revenues of $1.09 billion, a 7% increase versus 2011. Our sales increase, combined with operating leverage improvement, enabled us to report a 357% earnings increase to a record of $24.2 million or $0.36 versus $0.08 in 2011. Included in our annual earnings is approximately $3.8 million in after-tax costs, related primarily to the start-up of our Allentown, Pennsylvania pouch filling facility and other consumer products operations, acquisition costs at Opta Minerals, and costs related to restructuring throughout the year. These costs were offset by approximately $1.8 million in after-tax benefits related to the sale of Purity Life earlier in the year, and onetime favorable tax impacts, primarily at Opta Minerals. Our base growth rate for the year was 6%, which reflects continued momentum in our integrated package food product categories, as overall packaged consumer product sales were up approximately 15% across all of our segments. On a full-year basis, we also benefited from increased sales of organic grains and feedstuffs in SunOpta Foods and increased sales at Opta Minerals due to increased demand in the steel industry. Partially offsetting this growth were volume declines in our food ingredient categories and European organic sourcing operations. In 2012, we continued to focus on margin expansion with operating income up 39% to $47 million or 4.3% of revenues, a 100 basis point improvement compared to the prior year. These improvements were driven by SunOpta Foods and, more specifically, from continued growth in aseptic package beverages, improved sunflower margins, stronger organic grain and feedstock margins, improved results at our Frozen Food consumer products operation and lower overhead costs as a result of cost rationalizations executed earlier in the year. These improvements were partially offset by lower profitability in our food ingredient and European sourcing -- organic sourcing operations, largely due to reduced sales volumes. Opta Minerals realized increased operating income, mainly due to the effect of acquisitions completed during the year. We remain confident in Opta Minerals' ability to deliver on its plan and successfully integrate their latest acquisition, WGI. Going forward, we will continue to focus on our portfolio of natural and organic food offerings. For our non-core holdings, we will continue to pursue all options to maximize shareholder value, and, in doing so, create additional capital that can be reinvested in our global natural and organic foods platform. While Rik and Rob will provide greater detail on the fourth quarter shortly, our results for the quarter included continued strong growth across our product categories, but also the impact of investments that we are making to expand our value-added capabilities and some short-term commodity related margin pressure which led to the quarter falling somewhat short of our expectations. In summary, 2012 was a strong year for SunOpta with record revenue in earnings, and our balance sheet is in the strongest position that it's been in, in some time, leaving us well situated for future growth. In 2013, we will continue to execute on our core strategies to leverage our integrated platform and increase our value-added packaged foods and ingredients portfolio to increase sales, operating margins and profitability long term. Now, I will turn the call over to Rob for more details on our fourth quarter results. Rob?
Robert McKeracher: Thank you, Steve, and good morning, everyone. I'll take the next few minutes to review our financial results for the fourth quarter ended December 29, 2012. Please note, all figures discussed today are in U.S. dollars unless otherwise noted. For the fourth quarter of 2012, revenues increased approximately 12% to $270 million compared to revenues of $242 million in the fourth quarter last year. Excluding the impact of changes, including acquisitions, foreign exchange, commodity pricing and rationalized product lines, our consolidated base growth rate was approximately 6% and 7% within SunOpta Foods. On this normalized basis, all segments reported year-over-year revenue growth. The SunOpta Foods growth is driven by increased sales across several of our integrated packaged food products, particularly in the beverage and resealable pouch categories. Operating income increased 46% to $7.2 million or 2.6% of revenues, versus $4.9 million, or 2% of revenues, in the fourth quarter of 2011. This increase was led by a significant improvement in operating income in our Consumer Products Group as a result of decreased rationalization costs in the Frozen Foods operation, and reduced selling, general and administrative costs, due in part to the streamlining of certain back office functions that we implemented earlier in 2012. As Steve mentioned, while we were pleased with the increase in our operating income versus 2011, the results in the fourth quarter fell somewhat short of our expectations. The main drivers of this shortfall were margin pressure in sunflower and organic feed, costs associated with investments in our consumer products operation and a cyclical downturn in the steel segment within Opta Minerals. Rik will provide further details in a moment, but we believe the bulk of the margin pressure to be short term. Earnings from continuing operations for the fourth quarter increased 210% to $4.3 million or $0.06 per diluted common share, compared to earnings of $1.4 million or $0.02 per diluted common share in the fourth quarter of 2011. For the fourth quarter, we reported earnings of $4.4 million or $0.07 per diluted common share, compared to a loss of $7.6 million or a loss of $0.11 in the prior year. Included in earnings for the fourth quarter of 2012 was approximately $1.2 million in pretax acquisition, integration and start-up costs related primarily to the start-up of our Allentown Pennsylvania pouch facility, and acquisition costs at Opta Minerals, offset by the positive impact of tax adjustments of approximately $0.6 million, primarily at Opta Minerals. EBITDA increased 33% to $12.4 million compared to $9.3 million during the fourth quarter of 2011. Now, focusing on a few balance sheet highlights. We ended 2012 with total assets of $707 million and a net book value of $4.94 per outstanding common share. At December 29, 2012, our balance sheet reflected a current ratio of 1.46:1 and a total debt to equity ratio of 0.58:1, compared to total debt to equity ratio of 0.54:1 as of December 31, 2011. Total debt outstanding was $189 million, an increase of $27 million compared to December 31, 2011. The increase in debt is primarily due to $34.4 million higher borrowings at Opta Minerals in order to finance their 2 business acquisitions in 2012. Total debt in our core food operations decreased by $7.2 million in 2012, mainly as a result of improved operating cash flows and decreased investment in working capital, offset somewhat by increased capital spending. For fiscal 2012, we generated cash from operations, excluding changes in working capital, of $49.8 million compared to $38.6 million in 2011. Cash used to finance working capital was $18.8 million in 2012, compared to $44.2 million in 2011, a $25.4 million reduction. From an investing perspective, $30 million was used to finance acquisitions in Opta Minerals during 2012, and $24.3 million was used to finance purchases of capital assets, compared to $12.7 million of capital expenditures in 2011, net of proceeds on asset sales. During fiscal 2012, the company also generated cash proceeds of $12.2 million due to the sale of Purity Life health products. Capital expenditures in 2012 include spending primarily at our ingredient and packaged product facilities, investment into a new cocoa processing facility in the Netherlands, plus maintenance spending across a number of other business units. During 2012, we refinanced both of the credit facilities that serve our core foods business. In July 2012, we completed a new 4-year agreement with a syndicate of lenders for the credit facilities that are used to finance our core North American food operations. These facilities provide up to $175 million in committed borrowing capacity and also carry an uncommitted $50 million accordion feature. To end fiscal 2012, borrowings on this facility were approximately $84 million, representing 44% of our total debt outstanding. In September 2012, we refinanced and expanded the European credit facility used to finance the global sourcing supply and processing operations of the International Foods Group. This European facility provides a borrowing capacity of up to EUR 45 million, or approximately USD 58 million, secured by the working capital of our International Foods Group. At the end of the year, borrowings in this facility were approximately $44 million, representing 23% of our total debt outstanding. Opta Minerals also expanded its debt facilities during the year in order to finance its acquisitions. To end the year, Opta Minerals had total debt outstanding of $61 million, representing 32% of our total debt. All debt at Opta Minerals is standalone and has no recourse to SunOpta. The increased borrowing capacity provided by new credit facilities, improved operating margins and cash flows, as well as the strong balance sheet, continued to keep the company well-positioned for future growth and provide added flexibility when assessing strategic expansion opportunities. At this time, I'll turn the call over to Rik, who will provide an overview of operational developments in our core foods business. Rik?
Hendrik Jacobs: Thanks, Rob, and also good morning to everybody. In the fourth quarter, we remain focused on expanding and enhancing our consumer package and ingredient capabilities. As per our longer-term strategy outlined by Steve, we believe these are the categories that offer the strongest growth and profitability potential for the company and we will continue to invest in these areas. While we further expand our capabilities, our team is also consistently working to leverage our integrated foods platform via streamlining efforts to cut costs and increase collaboration across our businesses to make the most efficient use of the expertise of our people and our processes. Over the next few minutes, I will comment briefly on the Grains and Foods, Ingredients, Consumer Products and International Foods Group. In the Grains and Foods group, we have a strong quarter with consumer packaged products performing well, and particularly our aseptically packaged non-dairy beverages, which experienced double-digit growth versus the same quarter last year. Fourth quarter revenue increased approximately 9% to $120.6 million. We continue to see increased demand in this area, as well as growth in new categories with the added processing capacity at our Modesto aseptic facility, helping us support this higher level of growth. Our commercial development team consistently evaluates new processing and packaging capabilities here to ensure we stay at the leading edge in the packaged foods categories we operate in. And as a result, we will be installing new innovative aseptic packaging formats in 2013. These new formats, both in multi-serve and single-serve, should allow us to penetrate new segments and cement our position as a leading manufacturer in the categories we are operating in today. However, as Rob mentioned, in the fourth quarter we did experience some margin pressure in the raw grains and sunflower segments. Margins declined in the sunflower due to lower processing yields as plants changed from -- over from old to new season harvest. We estimate that this reduced fourth quarter 2012 gross margin by approximately $700,000. Partly to offset this volatility, but also to better serve our European customers, we have increased diversification of sunflower and related ingredients with the acquisition of a value-added grain handling and processing facility in Bulgaria. As in all segments of our business, we will continue to explore ways to enhance our margin by integrating into more value-added ingredients and consumer products. Following a very strong year in sales of our organic feed products, where we sold through our contracted supply, we had to fill all the contracts with higher cost, new crop or stock purchases in the fourth quarter, and that resulted in somewhat lower margins. We estimate that this reduced our fourth quarter 2012 gross margin by approximately $0.7 million. We are pleased to report beginning in January 2013, the situation has improved significantly, as we have been able to increase our prices in line with our higher input costs. The good news here is that market demand is staying strong even at higher prices, unlike previous years, further indicating that consumer demand for organic products is strong. Now, focusing on our Ingredients Group. This area of our business continued to perform below our expectations in the fourth quarter. However, we believe the results have bottomed and are optimistic we will begin to see improvements in our results going forward. In the quarter, we saw increases in our food ingredients sales due to our food service industry growth, where the product is used as a meal topping, and we also realized increased demand from yogurt customers, especially those focusing on Greek yogurt. On the fiber side, we remain excited about the pipeline of new products. In both fiber and food ingredients, we've expanded our manufacturing capabilities through the installation of milling equipment that is capable of serving the meat and bakery industries better on the fiber side, and the installation of an aseptic line for our food ingredients operations, which increases quality at a lower cost. As we focus on increasing sales and profitability in this business, our team will continue to find ways to reduce operating costs from the system, and we expect to complete the closure of the Chelmsford administrative office by the end of the first quarter, reducing our annual operating cost there by approximately $1 million, roughly half of which will be captured in 2013. Turning our attention to the Consumer products Group, we realized increases in both revenue and operating income in the fourth quarter. Our frozen Healthy Snacks and pouch businesses all grew in the quarter. The 1 disappointment is the continued underperformance in our refrigerated juice business. New leadership has been put in place in our San Bernardino refrigerated juice facility and we have been optimizing this plant with an increased focus on extraction, in addition to our current bottling business, to better serve a change in the customer set and enhance our margins for future growth. Some of these actions should begin generating results in summer 2013. Going forward, we remain focused on the premium juice category, and we believe we are well-positioned to be a key player in the organic segment of this industry, due to our strong sourcing capabilities and the unique location of the facility. Our pouch operations in Allentown continued to progress in line with our plan. We recently announced further expansion with the addition of 2 more filling lines at this facility, and we expect them to be commissioned by the third quarter of 2013. The increased capacity will enable us to increase sales in the key growth category of baby food and also allow us to expand into new growth areas, including snacks, sauces and nutritional beverages. The product pipeline remains strong and demand in North America for pouches continues to grow. We believe this business aligns very well with our core strategy, as, in many cases we can also provide natural and organic ingredients contents in our pouch products. In our Healthy Snacks business we experienced lower margins in the fourth quarter despite generating strong revenue growth. We focused on investing capital to improve the line efficiency of the Carson City plant in the fourth quarter, and this will carry over into the first quarter of 2013. We believe this capital investment is necessary to support the rapid revenue growth this facility has seen since we acquired it in December of 2010. Our Frozen business generated significant improvement over the last year, as we have now exited almost all industrial format Frozen Food lines. We are pleased to report this business has seen progressive improvement in margin, and is expected to remain profitable throughout 2013. We plan to invest capital at our Frozen Food facility to aid in supporting new business as we enter the second half of the year. For Consumer Products Group, it is important to note that we do not expect the segment to be profitable yet in the first quarter of 2013 due to the cost of the planned upgrade in investment we will incur in our Allentown, San Bernardino and Carson City facilities. These investments will help get our 2 -- our next 2 pouch filling lines commissioned in Allentown, enhance the juice facility and provide line and further cost improvements in our Healthy Snacks facility. In the second quarter, we do anticipate a slight return to profitability, with momentum building for further improvement in the third quarter of 2013. And finally, our International Foods Group continues to experience softness on the European side of the business, almost completely offset by stronger management in the North American business, where we're grown rapidly in the fruit and seed, nut business segments. We remain intently focused on continuing to strengthen the supply chain and sourcing capabilities of this business, and are excited about our opportunity in Bulgaria with the recent acquisition of OLC. This acquisition expands our value-added processing capabilities and increases our presence in a key global supply area, while at the same time leveraging our integrated processing platform. We are also eager to complete the commissioning of a new cocoa processing facility in Holland, which will afford us greater control over product quality and provide us with the ability to enhance margins through further integration. This ties directly into the strategy to develop new organic ingredient supply sources and a greater breadth of offerings. And with that recap of our business performance, I will now turn the call back over to Steve for brief closing remarks. Steve?
Steven R. Bromley: Great. Thanks, Rik. In closing, as we reflect on 2012, we are pleased with our record results, and although we expected a bit more in Q4, we are confident that we can continue to grow the top and bottom line of our business. Our confidence comes primarily from 2 sources: First, we are well-positioned in the growing healthy food space, and second, we are making solid progress on executing on our core strategies, which allow us to capitalize on this fast-growing market. Specifically, on becoming a pure-play natural and organic foods company, we completed the divestiture of Purity Life during the year, and made 2 acquisitions in Opta Minerals that we feel makes them a more attractive asset to sell at some point in the future. At the same time, we bought a value-added grains handling company in Bulgaria, 1 of the key growing -- or key organic growing regions in the world, expanded the capabilities in many of our operations and continued to evaluate other potential acquisitions and internal growth projects. When it comes to our strategy to grow our value-added ingredients and packaged consumer goods categories, we have also made significant strides. The vast majority of our strategic investments have come in this area, which should position us well for both increased sales and increased margin down the road. To name but a few: The addition of the Allentown pouch facility, increased capacity and packaging formats in our aseptic plants, new milling equipment for our ingredients business and the installation of a new line in our food ingredient business. Again, as Rik has already indicated, we will continue to invest in areas where we can add the most value, since that is the greatest potential for margin improvement. Lastly, we have started to execute on leveraging the platform we have built. We were able to cut significant costs out of our overall SG&A last year, and most of our plants are operating better now than they were 1 year ago. This has already led to expansion of our operating income as a percentage of revenue, and I firmly believe we can achieve more here through a consistent sharing of best practices throughout the company. Thanks for joining us on the call today. And with that, we would now like to open up the call for questions. I'll turn it back to the operator.
Operator: [Operator Instructions] Our first question is from Michael Lavery of Sidoti & Company.
Michael Lavery - Sidoti & Company, LLC: Just had a quick question on -- just about on the revenue front, given that the pouches haven't really ramped up completely, is it kind of the right way to think about that as gaining momentum from the 14% growth rate that we saw here in the fourth quarter as we move through 2013?
Hendrik Jacobs: Yes, it will continue to build on the momentum. And the 15% or so growth rate that we mentioned earlier was specifically for all consumer packaged products, and that growth was really led by 3 areas, aseptic beverages, pouches and Healthy Snacks on the protein side at the Carson City facility.
Michael Lavery - Sidoti & Company, LLC: Okay. And then, Rob, just do you have a CapEx budget for 2013 you could share?
Robert McKeracher: Yes, I mean, I think you can expect our capital spending for 2013 to sort of be in the $30 million to $35 million range.
Hendrik Jacobs: And then I think, 1/3 of that is in strategic investment and 1/3 would be maintenance.
Robert McKeracher: Yes, the general rule, you're safe to go with 1/3 being maintenance capital and the rest is sort of reinvestment and strategic.
Operator: Our next question is from Alvin Concepcion of Citi.
Alvin C. Concepcion - Citigroup Inc, Research Division: Just wanted to see if you could give us some more color on some of the key drivers and targets for 2013?
Steven R. Bromley: Our key drivers and targets for 2013 are really, I'll step to the longer term position first which is -- we are still continuing to work towards 8% operating margins, 10% EBITDA margins and 15% round up margins over the next 3 years. Our targets for this year, obviously, we expect revenue growth in line with where we've been seeing our revenue growth. And with some of the initiatives that we have in the pipeline, pouches and others, we would be looking for that to accelerate a little bit. On the operating margins, we expect those to continue to improve throughout the course of the year. We haven't publicly disclosed where we believe our operating margins will land, but we do expect continued improvement through a number of initiatives, shifting our product mix to more value-added products. Rik spent a lot of time talking about -- and Rob spent some time talking about the initiatives that we have underway and continuing to expand on both the ingredients and the packaged goods side, and so continuing to shift that product mix is obviously very important. Rik also spoke about cost reduction. And we have continuous improvement activities throughout all of our operations. But we expect costs to continue to come down in a number of the facilities. Rik specifically mentioned the closure of our Chelmsford, Massachusetts office, which is just in the final stages of being completed and that provides $1 million annualized cost savings before tax. We'll realize about half of that this year as we wind down the operation. And then leveraging the platform as well and driving synergy across the platform is also very important. So we continue to expect top line and bottom line growth.
Alvin C. Concepcion - Citigroup Inc, Research Division: Great, that's helpful color. And then just a question on the industry. It seems that natural and organic demand has been strong and it continues to be very strong. There continue to be some news worldwide about food supply issues. You've got chicken scares, horsemeat and beef, things like that. I know that's not directly related to you. But do you see that as a driver for another uptick in growth for the company in the industry in 2013 and maybe beyond?
Hendrik Jacobs: Yes, I think we do. I think 2 things point to that. If you look at our consumer packaged products, they are really leading growth. And that is probably the closest to us being able to give an indication of where that industry is at. I think the second one, which is actually a couple of steps removed, is really on the organic feed. I mean, what we have seen in the past, when you have the prices of organic feeds went to a certain level, then all the people that use them for chickens and use them for eggs, they switched, and they can do that relatively quickly, within the space of about 3 months, from organic and natural. And this time around, it's actually, even at higher prices, they're all staying at an organic. So those are really 2 drivers. And I think everybody is aware of the ongoing debate when it comes to non-GMO and food safety and we only expect that to continue, if not actually become more and more of a discussion as we see all these food scares around the world.
Operator: Our next question comes from Keith Howlett of Desjardins Capital.
Keith Howlett - Desjardins Securities Inc., Research Division: I wondered if you could state your indication on what the tax rate would be in 2013?
Robert McKeracher: Yes. I'd estimate the tax rate next year to be in the range of kind of 37% to 39%.
Keith Howlett - Desjardins Securities Inc., Research Division: And just on the Lorton's juice business, can you just explain or just describe what their niche is or where they sell it and where the issue is and where you're taking it?
Hendrik Jacobs: Yes, I think this business was purchased some while ago, and we have seen some customers leave, and we have more demand on a different set of customers. What this business really used to be doing is quite a bit of bottling. While we also have extraction over there, the extraction is really the area where we continue to make more significant investments in order to fully capture all the extraction margin, if you like. So you start with raw orange, you extract it and then you put it into a bottle, that's a lot of margin. And where we're also investing there is actually in a very profitable byproduct, which is the oil, and so we will have then organic oils that you can sell to a broad variety of industries, going as far as hand and organic laundry soap and things like that. That's where we need to make an investment and that's where the customer set is changing to and that's why we've been retooling over there.
Keith Howlett - Desjardins Securities Inc., Research Division: And is Lorton's sort of an organic super premium juice sold in grocery stores or health stores?
Hendrik Jacobs: It is, yes. As you recall, we don't really have a lot of our own brands, so we do provide organic juices to retailers and club and food service as well. And we source those oranges. And that's why San Bernardino, in the South of California, we are sourcing organic oranges from Mexico. We can even do that from Texas and we, obviously, we do it from Southern California.
Keith Howlett - Desjardins Securities Inc., Research Division: My other question was when the business was purchased, its sales were very modest. Like I sort of remember, I could be wrong, of course, like $7 million or $8 million or something. What are the sales like now?
Hendrik Jacobs: The sales at the moment have come down somewhat. So I think when the business was purchased, although I wasn't here at the time, but I think it's around $8 million. Is that right, Steve?
Steven R. Bromley: Yes.
Hendrik Jacobs: I think today they're sitting at about $5 million. And with the -- with what we are now retooling the factory for, $10 million should be easily achievable for a doubling of the business, but more importantly, bringing this business in line with our own expectations on the margin side.
Operator: Our next question is from Scott Van Winkle of Canaccord Genuity.
Scott Van Winkle - Canaccord Genuity, Research Division: You guys talked on the ingredients side about cost initiatives at the Bedford facility. What about on the revenue side? Are there any discussions going on, on new customers, on those fiber? What about the -- kind of popping up the revenue trend that we've seen deteriorate a little bit at ingredients over the last couple of years?
Hendrik Jacobs: Yes, on the ingredients side, I think if you start with the food ingredient side, that's where we're seeing fairly good top line growth actually in the fourth quarter. Growth over there was more than...
Steven R. Bromley: That's 38.
Hendrik Jacobs: Yes, in the 30s. And what's driving that? It was really the meal replacement for one of your favorite pancake restaurants -- or sorry, meal toppings and then also the whole yogurt. And there are more opportunities there when it comes to yogurt. Some of the really big players are moving out West, and I think we should be able to profit from that. When you talk about the fiber side, we have made fairly significant investments to expand our capabilities over there, so that we're not only providing, if you like, really high functionality but also high-cost fibers, but also moving more and more into lower cost, and, as a result, also some lower functionality. There, we're still waiting to land the big buffalo. But we are still waiting to land the big buffalo, but we are well on track to land that. And it continues to be a matter of time over there. So we see a positive trend on the fruit, we have stabilized on the fiber. And now we just need to make sure we get that volume uptick on the fiber side.
Scott Van Winkle - Canaccord Genuity, Research Division: Great. And then on the sunflower challenge, is that -- going from the old crop to the new crop, is this something that we expect -- we should expect to cycle through for 3 or 4 quarters? Or is it something that gets kind of adjusted with price over the next couple of quarters?
Hendrik Jacobs: I think the new crop has definitely got some quality issues that our factories will need to adjust to. So in the beginning, it leads us to a bit of a lower yield, and as a result, you get the pressure in the margin. And for that to work through into the market, is going to take some time. We expect that to take 1 or 2 quarters for that to actually go through. I mean, there are some positive things when it comes to sunflower. For one thing, Chinese competition has really kind of exited the market by and large. And I think right now, everybody's obviously also looking at what's going on in South America when it comes to sunflower. And obviously, those are also drivers of what market prices will do.
Scott Van Winkle - Canaccord Genuity, Research Division: Okay. And lastly on the package, the Consumer Product segment, you talked about loss in Q1 and improvements from there forward. What's the gross margin looking like on that business today? And when we think about the pressures you've see as you build out the capacity, is that just high cost to goods sold as you're not efficient with new facilities and new equipment? Is that kind of double expenses as you go through the process? Where does the actual pressure on profitability kind of manifest itself in the P&L for that business?
Hendrik Jacobs: Well, I think, of course it's a very diverse set of what we're doing and in some cases -- and well the best example of that, I think, is Carson City. It's really -- we've grown the top line there, something like 60%. But, quite honestly, neither the people nor the lines that we had over there were able to keep up with that kind of growth. So there you have the impact is definitely sitting in the gross margin side because you have higher direct labor cost and you have somewhat lower yields during the production process. So that's where we are hurting on that side. I think, when it comes to some of the other products, we have very, very good gross margins, think aseptic, think pouches, et cetera. And there's just, especially, on the pouch side, of course, it's just a matter of getting to a certain volume, read revenue, especially on the Allentown side in order to be able to cover the overheads.
Scott Van Winkle - Canaccord Genuity, Research Division: Okay. And then last question, I know you guys don't give guidance. But you're a couple months into this March quarter. And we kind of look at this fourth quarter and we can see the trend in revenue growth and profitability. Through the first couple of months of this quarter, can you give us an idea of -- if we assume everything kind of continues from Q4 towards -- going into Q1, where are the changes? I mean, have you seen acceleration, deceleration, higher margin, lower margin? What kind of delta should we see as we go into Q1 from Q4, at least through your first 8 weeks of experience?
Steven R. Bromley: Yes, sure. So far we've seen continued strength from the markets, so we haven't seen a significant downturn or anything in demand on the food side of the business at all. As we mentioned earlier, the organic feed issue is entirely behind us with the prices having increased. Sunflower will improve, it won't entirely go away but we'll see continued improvement there. As well for us, December, because of the ingredient and raw material components of our business, is much more variable. You'll have a customer that is scheduled to take 10 truckloads of a specific ingredient and because of their inventory balancing as they get into the end of the year and manage plants, that can bounce around a little bit. So we're always -- December is always probably our most difficult period to predict. And then January, normally, comes back and stabilizes, so we're seeing that -- so we don't expect the magnitude of the grains issue that we had in the last quarter. We continue to see growth in the core Consumer Product businesses. Those trends are there. As Rik mentioned, I think we have kind of found the bottom on the ingredient side and with fruit ingredients continuing to improve, we expect to see improvement there. And that's 1 of my favorite saying that Rik has, "When we land the big buffalo," and we're close to landing some of those buffaloes from the herd. So we expect that to improve. Costs should continue to improve, as we ramp up on the Consumer Products side. And the steel industry on minerals is expected and has shown some rebound versus where it was in the fourth quarter. So you're going to see improvement. And we expect that improvement to continue.
Operator: Our next question is from Christine Healey of Scotiabank.
Christine Healy - Scotiabank Global Banking and Markets, Research Division: Just a couple of questions. I guess, Rik, first question's for you. Can you provide some more color on this cocoa processing facility you guys are building in the Netherlands, maybe what's the capacity of the plant, how much you expect it to contribute? And I think you said the timing was late Q2? Maybe just some more color on that would be great.
Hendrik Jacobs: Yes. I mean, so at the moment, what our Trading, or our international group does is we buy raw cocoa bean organic from all over the world, and they are basically contract manufactured so that we can actually sell the butter, the liquor and the powder to customers. That is -- so that is contract manufacturing that is outsourced. And what I didn't know, even though I'm from the Netherlands originally, is that actually about 50% of all cocoa beans go through the port of Amsterdam, must have been something from the Middle Ages carried over. But so there's a lot of -- so we are building a -- purely focus on organic processing of cocoa beans. We know that this with the volume that we're selling ourselves today that, that already makes sense. But we will build a plant that has a capacity of about 10,000 metric tons, which, cocoa plants are not that large, but so that we will also be able to contract manufacture for other people who are interested in purely organic, and we think we can do that at a more competitive price than is offered by some of the bigger mills right now.
Christine Healy - Scotiabank Global Banking and Markets, Research Division: Okay. And are there any other projects in the pipeline in that segment, International segment?
Hendrik Jacobs: We continuously have projects over there that we're evaluating. Not necessarily with building up factories and things like that, but when it comes to sourcing projects, we've got work going on Guinea, we've got work going on in Ethiopia, we've got work going on significantly in South America as well. Those are all basically to make sure that we either secure or enhance all of our sources of supply for different Organic Ingredients.
Christine Healy - Scotiabank Global Banking and Markets, Research Division: Okay. And then I guess moving to the Ingredients segment, just adding to what Scott was asking there, you're close to signing a couple of contracts on the fiber side. Would this be on the cellulose fibers side only? Or are you also still working on the rice fiber?
Hendrik Jacobs: So, all the new products, of course, they continue to be in our focus. But the big buffalo I was referring to was on the cellulose side.
Christine Healy - Scotiabank Global Banking and Markets, Research Division: Okay, great. And I guess just lastly, it wouldn't be a call Steve, if I didn't ask about Opta Minerals. This is what everyone's asking me this morning. Can you give us an update on the timing of your becoming a pure-play? And we noticed that the head of your corporate development recently moved over to Opta Minerals. Investors are just asking me if that's any indication of the timing there?
Steven R. Bromley: Yes. So first off on John Dietrich moving to Opta Minerals. Opta Minerals had grown substantially. So they did these 3 acquisitions. They've had the internal growth projects and the business grew a lot. And in traditional style for the management team at Opta Minerals, they're always focused on costs and they're always focused on being streamlined. They added very, very little management capacity to help manage that business. And they got to a point where they needed to get some talent, some additional talent into the business. At the same time, John, who has had a number of roles here, was very, very interested in taking on a role that had a lot more operating -- a lot more operations focus. And that role kind of met with what John would like to do, and it was a win-win because he also understood the business a lot from his involvement with SunOpta for 10 years. So it was a unique opportunity, and so John took that opportunity. And we were also fortunate in that John Ruelle, who is our Chief Administrative Officer, has loads of experience in corporate development-type work and was looking to do more of that. So internally, everything really lined up well for us. And look, Christine, no doubt about it, a nice by product of that is that John's very, very familiar with these processes, and he'll be very valuable in that process at the right time. So where is Opta Minerals at? They have completed the 3 acquisitions. They really got the WGI acquisition completed. They finally got 100% control in November of last year. So they're very, very busy integrating that business. They are integrating all the operations onto their operating platform. They targeted a certain dollar amount of synergies that they would realize from the integration. They are 2/3 of the way, maybe closer to 3/4 of the way through realizing that. The Babco acquisition that they acquired last February continues to perform very well. And then they've completed an expansion at their watered-down facility to increase their ability to service the steel industry in North America. So they really executed on all of those. And our position has been that, look, we want to establish the run rate and be able to show potential investors that look at these synergies are in place, and we're ready to go. So we're closely monitoring and watching that. As I indicated, I'd say they are 2/3 to 3/4 of the way through on the WGI side. We need to be able to show some run rate there, and then get it to the market. Our position on the business hasn't changed. We'd like to make something happen in '13, if everything works out according to hoyle. And we're working on that. And we'll see. Our plan hasn't changed. I can't predict whether it's -- what month everything kind of comes together. We need to see some of the run rate from the business. But that's where we're at, for sure.
Operator: Our next question is from Chris Krueger of Northland Capital Markets.
Chris Krueger - Northland Capital Markets, Research Division: You had another follow-up on ingredients. I know we talked about a potential big customer with the new cellulosic product. Just in general, how about the rice fiber? Do you have a growing pipeline of projects you're working on that could turn into revenue? Same with the starch?
Hendrik Jacobs: Yes, and we do. And I think we indicated also in the last quarter that we've now come out and we've launched these products, in the -- especially in this ingredients side. It is a long runway before you get to big commercial success, because we have to do bench test with all these people, then it is limited market test, et cetera, et cetera. So I would say that our ingredients business has probably the longest sales cycle of anything that we have, and that I would say that's about 12 to 18 months. Before, you can actually see big commercial success after launching a product.
Chris Krueger - Northland Capital Markets, Research Division: Okay. Then on the Consumer Products segment, it sounds like with the pouches and some other initiatives that you were looking for some solid sales growth there. Can you talk about what you think the potential sales growth is for the next few years and also your operating margin potential for that group?
Hendrik Jacobs: Well, I think if you look at consumer packaged as a whole, our target for that, longer term, is basically 8% to 10% on an operating margin basis, and I would say that pouches need to obviously be there as well. And I think, with all of the opportunities that we see, we don't see any issue longer term of being able to get there. For that to happen, we need to further expand even beyond the next set of lines, I would say, that go into the Allentown facility, and we have the room to do that. What we are excited about, potentially, for the future, would be low acid aseptic pouches, because then you can go into more and more of the product categories, also inside of the baby food category. And you can lower the costs versus the retail process that is currently available. But that's not yet FDA approved. But that's where we're thinking at the moment.
Operator: Our next question is from Bob Gibson of Octagon Capital.
Robert Gibson - Octagon Capital Corporation, Research Division: You are generating some decent cash now. Steve, can you give me some rankings on what you're thinking is as to spending that money? And what the board's thinking is on possibly paying a dividend?
Steven R. Bromley: Sure, it's a good question, Bob. Clearly, the board has had those discussions. And our current position is that -- well, first off, we'd like to see our debt to equity in the range of 0.5 to 0.7. We're in that range, and while we're in that range, the initial inclination is not to pay a dividend, but to continue to manage our debt, 1; and 2, we do see some really good growth opportunities in this business, and in natural and organic foods, and healthy eating and healthy living is clearly not a European and North American trend. It's going -- growing around the world, and so we see growth opportunities. If there were no growth opportunities, Bob, and we were in a stable set, you'd see us start to pay a dividend sooner rather than later. Our opinion at this stage of the game is that there are still significant opportunities where we can put the cash to work, and that you should expect from us for the next few years. But I can assure you that it's on our agenda and we're contemplating all the opportunities all the time.
Robert Gibson - Octagon Capital Corporation, Research Division: Just so you know, there's a lot of investors out there, value investors. But they won't invest in anybody unless they're paying a dividend which is kind of finicky, but just so you know.
Steven R. Bromley: Right, yes. No, no. I'm -- we are aware of that and -- yes, we are aware.
Operator: Our next question is from Ron Reuven of Reuven Capital.
Ron Reuven: Just a few questions. As far as the year end, I noticed that there was 2 days shorter than last year. Last year was just calendar year ended on the 31st, whereas this year the fourth quarter ended on the 29th. Is there any particular reason for it? Or did I miss something?
Steven R. Bromley: Yes. Well, we run on a 52-week calendar rather than a 365-day calendar. So if you go back 2 years ago, I think the year end was January 1. Then it went to December...
Hendrik Jacobs: 31st last year.
Steven R. Bromley: 31st last year, December 29 this year. I guess, so was that a leap year? Yes. So there's an extra day, and it'll probably go to December 28 next year. So they are comparable periods. They are just always 52 weeks that ends on a Saturday. That's just very, very common in many companies. Yes, so nothing to read into it. It's apples-to-apples, 52 weeks times 7 days, 365 days per year, yes.
Ron Reuven: And then as far as the restricted cash, went to approximately $6.6 million. Can you give me some color on it?
Robert McKeracher: Well, I'll just update there. What that really represents is the nature in which we are using some lease financing to finance the cocoa processing expansion in the Netherlands that Rik was mentioning. And, as part of that lease financing, we've actually taken on proceeds and they are sitting in escrow at the end of the year. So that's what you see that $6.5 million sitting there in the balance sheet. So once the lease in the plant is operational, it'll be applied against the debt and the restricted cash in essence will go away.
Ron Reuven: Okay. And as far as -- back, I guess, to Opta Minerals, I know you've mentioned briefly that you're looking to divest it as a company, possibly, to do something in 2013. Do you see the company at this point growing in these acquisitions at almost 50%? Do you see it as big enough to sell at this point, or do you potentially see other acquisitions in the pipeline to grow the business a little further before putting it out in the market again?
Steven R. Bromley: Well, Ron, I think it's a very marketable asset. It's a very well run business with a good management team and good systems, and I'm on the board so it's a great board. And it's a really nice business. And they've grown very nicely. They have a number of growth projects that they're continuing to -- internal growth projects. They've really got a decent platform there. I'm sure there's other acquisitions that are out there. I can assure you that they're not focused on any of that and they're focused on integrating and getting the value from what they've purchased and everything. That's what we're encouraging them to do. So it was -- it's what I believe, and time will tell here, but I believe it's a very saleable asset.
Ron Reuven: Okay. And as far as guidance, I know you've stop giving guidance, at least shorter term guidance a few years ago. With the business now, in my view, completed the turnaround and becoming more stable at this point, do you see yourself getting back to giving guidance more regularly, as far as on a quarter-to-quarter basis in the near future? Or do you just want to continue focusing on the longer term, 3-year guidance that you've been working on in the last couple of years?
Steven R. Bromley: Well, Ron, we're certainly focused on the 3-year goals. And you're right, as the business grows and stability and consistency and predictability gets into the business -- and we're certainly getting there, we're considering guidance. We don't plan on doing it in the next couple of quarters, but it's certainly on our agenda, and I wouldn't want to rule it that we won't reinstitute that at a point here.
Ron Reuven: Okay. And as far as this year, what would you say is your -- are the biggest opportunities in the business? I know you mentioned a couple of times that there's a big buffalo type of customer coming in or potentially coming in. But would you say there's 1 particular part of your business that's the biggest opportunity in 2013?
Hendrik Jacobs: Well I think, if I were just to lump them all together, I continue to see double-digit growth for our total consumer packaged goods platform. And that's where I think we will continue to have, from an internal perspective, the biggest growth opportunities. I also think we are continuously evaluating a number of opportunities that are not yet part of our company today. So that, of course, would also come to fruition still in 2013.
Ron Reuven: Okay. And last question, I guess, just any update that you can give us on Mascoma as far as becoming IPO -- going IPO or -- at any time or any other update on it?
Steven R. Bromley: Yes, sure. Where to start with Mascoma? Well, first off, I don't -- my sense and my read, Ron, and from sense and read that I have from others is that, that IPO market hasn't really come out of the closet at all. And it's still pretty -- it's not a good market to do an IPO on alternative energy. They were IPO ready. I think with the timing now, they would have to file another S1, is it Rob?
Robert McKeracher: Yes, that's the one.
Steven R. Bromley: Yes. They'd have to redo an S1 before they go now, just given the length of time that the previous one was out there. At least, I believe that to be the case, and the business has probably changed significantly as they continue to build . They would probably want to do that. But I can't speak for them. I think that the company continues to make good progress on the 3 platforms that they're developing, the first one being what they refer to as Mascoma Grain Technology, and this is using their consolidated bioprocessing technology to develop. And my choice of words here, and it may not be right, and the Mascoma guys probably wouldn't like the way I describe it, but enzyme yeast cocktails that are used both in cellulosic ethanol and in conventional corn to ethanol to improve yields. And so that business continues to do well. They've got the first release out. They have a lot of customers using it. I believe that the product was used in about 350 million gallons of conventional ethanol last year, and they expect that to be well over 1 billion gallons this year, so they are generating revenue and they are generating profits and they are generating new strains of that material, which is all very, very positive and continues to grow. On the cellulosic ethanol side, they have the 3 plant projects: one in Kinross, Michigan, one that is moving very quickly in the Drayton Valley in Alberta, Canada, and a third project to convert sugarcane to gas and cane trash to ethanol working with a Brazilian partner. And so those are all moving. Those are still development. None of the -- there aren't shovels in the ground to build any of those yet, but there is significant government funding on those and they're certainly moving along. And so that component of their business is doing well. And the third component of their business is advanced biofuel technology. And so they have a couple of very interesting technologies that are derivative of the Mascoma Grain Technology that they've developed using thermophilic bacteria and a few things, and I think they're making progress there. So that's all very positive. They remain well-funded. I think they got 1 year, 1.5 year, 2 years of funding yet. So it's all -- it's moving along. And as much as we would like to liquidate our position and we've been clear on that for some time, I think we just have to allow these markets to go. The good news for us is that we get regular updates on how things are going, but we are not involved in the day-to-day business at all, which was one of our objectives. We do have a seat on the board of Mascoma, and Jeremy Kendall, our Chairman, who knows that industry quite well, sits on that board. So none of our management are involved in the management of Mascoma. I probably spend the most time on it, which is reading updates from Jeremy and really understanding his view on how things are going, and then updates that we get as a shareholder. But it doesn't take our time. And we believe that there is a significant opportunity for them to create some significant value at a point in time. But the key thing being -- and it's very similar to Opta Minerals, we, as a management team here at SunOpta, spend very, very small amounts of time on those businesses because they're well-run and they are run by other people, and that's important to us. But I'd say things are -- I give the management team at Mascoma a lot of credit. I think they've done a really good job.
Ron Reuven: Okay, sounds good. Actually, 1 last question I forgot to ask. In regards to -- again, using your words, big buffalo customer. How big do you -- how big do you consider a big customer, I guess, as far as relative to the size of the business? And I guess if you can give any clarity or color on how many do you believe are in the pipeline for, let's say, 2013?
Steven R. Bromley: We'll have to change that word. Buffalo always sounds like a big, aggressive animal. So Rik, you're going to have to change that one.
Hendrik Jacobs: Yes, I mean, significant customer, I would definitely -- that would have to be sales above $1 million. And if you look at our company, I think we are rather fortunate, if you look at our -- the top 50 customers that we have, do not -- make up maybe about half of our total sales. So we're not really that over-reliant on any 1 customer. And I think that, coming from an industry where that was quite different, I think that's actually a good thing.
Operator: Our next question comes from Keith Howlett of Desjardins Capital Markets.
Keith Howlett - Desjardins Securities Inc., Research Division: 1 question on the pouch and 1 on the food bars. I didn't quite understand the -- was it low acid aseptic pouches you want to do or high acid or ...?
Hendrik Jacobs: Well, I think if you look at the pouch industry right now, and if you look at all these categories, a lot of it is still sitting in glass jars. And those are all being retorted. And I think if you can go with different processing technology, then you can really change the game in terms of take and in terms of cost. And I think that is, longer term, something that we would like to move to. But of course, first that industry -- and we know that there are some things going on in that one but it's still a couple of years away, I think. And I just kind of wanted to indicate that, yes, we're going to continue to grow with pouches. It's going to be high acid for right now. And we can fill that entire plant up. But I even see opportunities beyond the current growth of the pouch, is what I was trying to indicate.
Keith Howlett - Desjardins Securities Inc., Research Division: So that's kind of intuitive to me. You currently process into the pouch high-acid content products?
Hendrik Jacobs: Yes.
Steven R. Bromley: Fruit veggie stuff.
Robert McKeracher: Fruit and veggie stuff.
Keith Howlett - Desjardins Securities Inc., Research Division: And low acid ones are more technically difficult to put into a pouch?
Hendrik Jacobs: Absolutely. Well, I mean, not to put into the pouch but in order to actually get them, make them sterile, if you like. It's more on making sure that the entire environment remains sterile. I mean, coming from Tetra Pak, when you have high acid and something goes wrong over there, you can get sick. If you have low acid and something goes wrong over there, you can kill people. And that's why that is always also from an FDA and everybody else's kind of perspective, a lot more difficult to get the process to work.
Keith Howlett - Desjardins Securities Inc., Research Division: I see. Great. And just 1 last question and this is more on, call it, the theoretical conceptual basis on the food snack business. The green sort of related ones or fiber related ones at Carson City seem to be growing. I'm not sure how the fruit bar ones are going. I'm wondering how much relationship there is between those 2 businesses? And also whether -- how you handle the packaging side of it. It seems that whatever one makes the customer want some other shape or some other size or some -- they want them twist, they want them ropes, they want them circular. So as you approach the business, is there some sort of way you can organize to meet sort of the unpredictability of what it is the market demands in terms of content and shapes?
Hendrik Jacobs: I think -- there's a -- well, first of all, the snacking category as a whole and I keep reading about this everywhere, is I think the fastest-growing category that there is, right? And that would be everything from your cereal bar, granola bar, protein bar, fruit bar, et cetera. So that whole category is continuing to grow and I think is growing the fastest in traditional growth rates for sure. So then where we operate is really in the natural and in organic part of that industry, and we really break it down into our Omak, Washington facility is fruit based, and then to the Carson City is protein based. And you're right, it will lead to more and more -- especially on the protein side where everybody wants to do their special things. You have quite a few different ingredients that make up every single individual bar. Now, we have R&D on site, we have micro lab on site, we can do testing on site, et cetera, et cetera. On the 1 hand side, it makes it more complicated, but when it's more complicated the opportunity to therefore then add value and retain more margin is also higher.
Operator: I'm not showing any further questions in the queue. I'd like to go ahead and turn the call back over to Steve Bromley, CEO.
Steven R. Bromley: Well, great. Thank you. I'd just like to wrap up by thanking everyone for joining the call today. And for those who will be at Natural Products Expo West, we look forward to seeing you there, and for others we look forward to speaking with you on our next call. Take care, have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.